Johan Bartler: So welcome to the Volvo Group third quarter report. Today, we'll do as always, we'll listen to the presentations from our CEO, Martin and from our CFO, Mats. So with that, I hand over to you, Martin.
Martin Lundstedt : Thank you, Johan. So good morning also from my side and welcome to this presentation of quarter three 2024. Interesting quarter, I have to say, so we have some details to share here. But maybe to start with, as we conclude this quarter, again, a lot of uncertainties as you're all aware of, and therefore I would like to start by thanking colleagues, business partners, customers for continued good cooperation during this quarter as well. I think in our business, in particular, given the nature of it, and not at least in uncertain conditions, strong and close relations are more important than ever. Also as expected and following the trends we have seen for a while now, demand continued to normalize into more of replacement-driven markets across most of the group's major segments and regions during quarter three. Therefore, also we continue to put priority on high-quality in the business by focusing first and foremost as always on our customers and thereby our service operation, volume flexibility in the industrial system, tight cost control combined with commercial discipline and price management. In particular, we have managed the volume flexibility well and are in good balance, not at least in the European system that is serving both European and international markets. Also South America is in good balance, a little bit different part of the cycle where we see a strong development right now. The only exception is trucks North America where we temporarily are having two events causing more costs. The first is related to supply issues for Mack cabs that have caused a significant loss of volumes in the quarter. We have now acquired that operation from a supplier and mitigation is on its way. Order books for Mack are elevated, so very high priority on this topic to serve our customers obviously. The second event in North America is very positive and that is the production start and you might -- you did see that also here in the introduction films of the all new VNL where extra resources and costs are needed to cope with introduction in parallel with normal production. We are very proud of this game changing and I would like to reiterate a game changing platform the all new VNL that will drive significant benefits for our customers up to, for example, when it comes to fuel consumption, 10% and also considerable value for the group moving forward. But in total, the events in North America affected the global group trucks margin negatively with approximately 1 percentage point. But I think it's also important to take a step back still with this temporary effect and also with the cycle management that we are into now. I'm impressed by the operational organization across the group that has managed to keep gross margin almost flat and it shows a good level of flexibility. However, more importantly, the start of production of the all new VNL in North America is a sign that we despite softer market conditions are maneuvering from a position of strength. And we continue to put priority on innovation, research and development investments, but also market and commercial investments moving forward. And that is of course to remain in the forefront of our industries and maintaining competitiveness. So if we summarize the quarter, net sales declined to SEK170 billion on the back of softer markets and thereby lower volumes obviously, also with a considerable negative currency and the specific deviation of supply for Mack in North America. Adjusted operating income came in on SEK14.1 billion corresponding to a margin of 12%. Operating cash flow, SEK3.1 billion in seasonally weaker quarter as you are aware of, giving a strong financial position of almost SEK63 billion. Return on capital employed in industrial operations increased to 38.3% in relation than to just south of 34% last year and earnings per share was SEK4.93. Looking at volume development, total truck deliveries declined with 16% in the quarter. The light duty business was impacted the most caused by the model changeover for Renault trucks, light commercial vehicles, which started during the spring, while the heavy duty volumes declined with 9%. This was with the exception of the North America or Mack specific issues in line with our current market expectations. For construction equipment, deliveries were down 12%, but obviously with a rather big mix effect here with Volvo coming down 32% and SDLG increasing 26%. When it comes to electrification, underlying demand is slowing down for the time being and the switch over to zero emission transport is still driven by early adopters across different markets and segments. Broad adoption at scale will happen when also enabling conditions are coming in place in a broader sense. Customers are still a bit hesitant before they know how the TCO, total cost of operation between zero emission vehicles and internal combustion vehicles will evolve and how the charging infrastructure rollout will materialize. We also see that the current macro-economic conditions are creating hesitation and naturally so because then you tend to go back to what you know and to actually handle the current situation. We regard however this more as a blip on the long-term curve and we are certain about the long-term development, both from market conditions, both for what we have to do, both from competitiveness and also from the regulatory angle. The important thing here is that Volvo has solutions at hand and you have seen that. We have a strong market positions and we are ready to handle different speeds in the transformation. And one example of that is of course the slight postponement we are doing now when it comes to the buildup of our cell manufacturing operations in Sweden. Orders for fully electric vehicles decreased 2% with lower demand for heavy duty and medium duty while light commercial and SDLG machines were positive. Deliveries increased with 29%. They are supported by a good order board for medium and heavy duty trucks, SDLG machines and buses while light commercials were lower. Also partly then affected by the changeover of Renault in Europe. So we continue to push in our core markets and that is also reflected in the high market shares. For example, Europe 70%. But more importantly, as we did show here before, more now for Volvo Trucks alone 100 million kilometers connecting us with customers and customers' customers collecting enormous amount of data to refine the solutions and thereby the importance of being early out. On the back of lower volumes, the sales in value then for vehicles and machines declined 11% if we adjust for currency. Truck sales declined 9% on 16% lower volumes as I said, the mix effect you remember there as well. Construction equipment sales of machines were down 24% with Volvo down 32% in their deliveries and SDLG increased 26% in their deliveries. So totally in sales 24% for construction equipment and you will see that later strong also flexibility here. We had higher bus deliveries at higher value driven by North America coach business resulting in a sales increase of impressive 23%. And for Volvo Penta, despite a drop of 18% in volumes, their sales were only down 3% and that is of course related to the fact that you have a better mix also with more heavy engines. Service sales, very important, strong focus over many years now as you know. And we had a continuous land growth, a 4% growth year over year for the third quarter adjusted for currency. So the service business continued to show resilience. All business areas growing during the quarter mainly driven by improved commercial conditions and efforts to increase service contracts, penetration and other services are also paying off but of course more step by step. That is not coming from one quarter to another. And specifically the growth of services for buses was mainly driven by more coach activities in the market and financial services growth was supported by interest rate and a continued good penetration. So all in all I would say a good level of services we see for mainly on the truck side that utilization is kept when it comes to the newer part of the fleet while for somewhat older it's a little bit lower. That has both a good and a bad relation on the mix but in total I think we are coming out well here. And a very important part of the resilience by the way, moving forward. Trucks done, IAA, some of you visited that in Hanover in September, the world's biggest truck show. And Volvo trucks announced among a lot of different news. We also had the all new VNL there by the way. The new Volvo FH electric with 600 kilometers range on one charge. And Volvo trucks will start to sell the new FH electric model in the second half of next year. In quarter three also Monterrey was selected as location of the truck assembly plant in Mexico. Ground breaking ceremony has been done and the new truck plant will start serial production in ‘26 and an important piece of the North American push here. In September, the serial production of the all new VNL truck model was started as I talked about earlier. And this is a moment we have been really longing for. It's the first bigger platform introduction in North America for Volvo since ‘96. Of course we have done a number of upgrades but this will come with a completely new functionality for customers but also for our industrial and modular capabilities. So it's a true milestone for Volvo in North America to reinforce our position and game changer for our customers. But of course, and this is important to manage the introduction as planned. We have temporarily more resources than needed for the current output, but in line with our planning for the new project. So all in all, very exciting times ahead here and more to come of course also for the Capital Markets Day. Also in North America, we finalized at the end of the quarter our acquisition of Mack Cab board in white production from a supplier to strengthen the supply chain and increase volume resilience and output. Volume for Mack has been hampered since quite long with an accelerated deterioration for the quarter it's resulted in significantly lower volumes than expected. Now this production is brought in house. I was personally involved together with a fantastic team during the summer to conclude this and we took it over at the end of this quarter and by adding resources and leadership output will gradually improve here. Market forecast that is always a little bit interesting, right? If we start down with Europe and the forecast here, for ‘24, we are increasing with 10,000 up to 300,000 for the full year ‘24. And that is mainly related to a strong start in ‘24 and through the summer and also related to the fact that new safety legislations came into place we always see a little bit of preregistrations. For next year and Europe, we are saying 290,000 and how you should think about it is that of course we are on that rate mainly now, moving out from ‘24 and into ‘25. So that is also a sign of balance in the industrial system here. For North America, 290,000 for this year, no change. While we are putting the forecast down for ‘25 at 300,000 since we expect also a gradual lift down during the course of ‘25, related also to the somewhat bigger pre-buy that we expect in ‘26 upfront legislations down for that is coming into force ‘27. Brazil, 100,000 no change for this year and 90,000 next year is really more stabilization, normalization back to the underlying trend line and no drama for that. India, we are increasing a little bit for ‘24 -- decreasing, sorry, for ‘24 and it is actually more based on how the market regained speed after the election, a little bit also extended monsoon season. And after that, we expect market to lift step by step into ‘25 plus 10,000 units there. China domestic, flat for or unchanged forecast for ‘24 and 820,000 for ‘25. What we expect the market to be replacement driven. Book-to-bill then for quarter two was 88% on the heavy duty and 84% 12-month ruling. The European book-to-bill continued to improve and we had 107% in the quarter on the back of production reductions installed in the beginning of the year and somewhat refined during the course of the summer here. The North American book-to-bill was negative as Mack is essentially sold out for ‘24 and well into next year. Order slotting has been very restrictive as you can see also in the order figures for North American in particular for Mack but also for Volvo. Volvo actually had not opened ‘25 during quarter three and we opened ‘25 during the beginning of quarter four here. So I think that is something to have in mind also when you look into the order figures, it boils down actually to managing the order book in North America. Strong deliveries resulted in a 74% book-to-bill in South America but that is more related to also how you manage the order board and we see a strong development there. And we also see a positive development in Africa and seeing while Asia continued to deliver out from the order backlog. Market shares had a very solid performance both Volvo and Renault in Europe with a combined share of 26.2%. For electric vehicles combined also Volvo and Renault kept their leading position with over 70% market share year to date. North America year to date August, Volvo and Mack despite delivery problems kept shares and not at the level that we want but kept shares at the 9.1% and 6% respectively. And in Brazil, Volvo remains strong with over 23% share. Australia also, Volvo and Mack had a combined share of almost 25%. That is also historically very strong. If we then move into construction equipment, this is the biggest launch year ever actually for construction equipment. We have talked a little bit about it. Maybe some of you also attended the Volvo Days. That is, I mean a couple of weeks that we have with a lot of customers. The biggest launch when it comes to electric, fossil free machines but also when it comes to the full lineup. And as a continuation of that of course now we are ruling out these type of capabilities in Asia, North America, Sweden and also in Europe. And also in quarter three we continue then to step by step install capabilities in our different facilities when it comes to electric machines. And during quarter three now we did that for wheel loader factory in Arvika where we have also as you know a little bit more heavy execution of wheel loaders. So we are ready also in that field. When it comes to market environment, rather much similar patterns for trucks. For Europe we take down the midpoint for this year ‘24. The midpoint in relation to ‘23 to minus 20% which is a minus 5% revision on the back of soft market with dealer inventory reduction. However, we start now to see signs that the downward correction in Europe is stabilizing. And guide 2025 to a flat market on the back of positive dialogues and signs from our dealers. In North America also there we are taking down the midpoint with 5 percentage points. So in relation to ‘23 midpoint of minus 10%. And for the full year ‘25 we forecast further minus 5% deterioration a little bit later in the cycle here but no drama. South America flat both for ‘24 and ‘25. Asia, excluding China, the midpoint is lifted to minus 5%. And for the full year we forecast a flat development. And China flat both for ‘24 and ‘25. So we see a stabilization here. Book-to-bill for construction equipment. Overall 92% in the quarter and 90% well month rolling. European book-to-bill improved to 87% on the back also of production adjustments and reductions. And we start to see early signs as I see over stabilization between demand and supply. And that is also what we're guiding for in the market forecast. The North American book-to-bill was down to 45% on the back of continued destocking of dealers and timing of orders. This was largely expected. And continued adjustments are done to balance order intake stock levels and production. But we have seen that also with deliveries going down rather dramatically for the Volvo brand, we are able to do that in a good way. And South America, Africa and Oceania, Asia were all balanced with positive book-to-bill. Buses, generally speaking, very good story. I think the full improvement program that we are doing in buses is really working well. And Mats, you will of course come back to that later as well. But if you look then into first some product news and this is impressive what you see here, full electric by articulated, 28 meters, 250 passengers. These are of course for the bus rapid transit systems competing then with the tramways and metros, et cetera, with the CapEx that is significantly lower but with the same type of output and fossil free execution, obviously. So we strongly believe into this, not only in South America where it has been for a long time, but also for others in order to achieve the environmental targets. Book-to-bill also positive for buses, 100% in the quarter and 92% 12 month rolling. Also Volvo Penta, lot of great news. The first fully electric hybrid for yachts. Interesting segment as you know. And what is the fully integrated that is from helmet, from the pilot controls, a cockpit, all the way to the propeller thrust, utilizing the Volvo Penta's inboard performance system. So we have a fully integrated system here and a great reception by the way at some of the different exhibitions here. And book-to-bill improved. And also by the way, I didn’t comment on the lower slide here. We see a good momentum continues in industrial and not at least when it comes to our type of integrated solutions with partners for data centers. We have a very strong position here and we see that market to continue to be very excited moving forward. Book-to-bill improved to 80% in quarter 3 and to 84% 12 months rolling. Finally, then, VFS, Volvo Financial Services. Portfolio growth in quarter 3, it continued to grow. The credit portfolio and the penetration remains stable. And it remains stable in a still very competitive landscape. So I mean, there are financing available. The increase in the net credit portfolios related to growth both in our retail and dealer or wholesale portfolio balances. Penetration levels was good. 28% for 12 months rolling out of September. Reaching 29% for the quarter and 31% for the month of September. And portfolio performance continued to be good with customer delinquencies trending at average business cycle levels. So by that, that was the business update. And I'll leave the word to you Mats for the financials.
Mats Backman: Thank you, Martin. So looking into the financials then. And first maybe a brief summary before we are getting into the details then. So overall, we continue to have a good financial performance despite lower volumes. While we continue to invest in transformation activities, it is crucial to maintain a balanced approach. So despite experiencing a quarter with lower volumes, our cost control measures and adjustments within the industrial system have contributed to the good result and the margin we see in the quarter. Price realization carryover is still supporting the result year-over-year. And we are holding on to our current price levels. But the year-over-year carryover effect will be limited going forward. Service sales continue to expand, approaching 32 billion in the quarter, an increase of 4% FX adjusted comparing to last year. Service sale exceeded 27% in the quarter, which also contributes to resilience and stabilize the financial performance. Apart from the specific challenges we have in North America, we have managed industrial performance well and adjusted capacity to be in balance with the demand we see in Europe and South America. Working capital remains a key focus and we have reduced inventory by SEK800 million compared to an increase by SEK1.4 billion during the same period last year. And this was mainly driven by reducing work in progress and material in a production inventory. And that is also adapting to a lower volume. So all in all, it was a quarter that showed good resilience in an environment with softening volumes. Looking into the details and starting off with the net sales then. Net sales were down 7% FX adjusted compared to the same period last year. Demand remains weaker in Europe with sales down almost 10% adjusted for currencies and their accused divestment. The decrease is driven by lower volumes in construction equipment and trucks. North America sales reduced by 9% FX adjusted on the back of lower market activity for both trucks and construction equipment and the specific supply chain constraints for truck that Martin talked about as well. South America continued to perform well during the third quarter driven by group truck sales while the other regions showed some contractions both in trucks and machines. The adjusted operating income for the group was 14.1 billion SEK with an adjusted operating margin of 12%. In Q3, earnings remained on good levels and was supported by some price realizations both for vehicles and services. The lower trend in raw material costs contributed positively to the performance year-over-year but could not fully offset the impact from reduction in volumes and negative brand mix within construction equipment. The transformation activities require a high level of investments and R&D spending increased by SEK0.5 billion in the quarter. The net capitalization effect in the quarter was negative at SEK85 million corresponding to a negative delta of approximately SEK450 million compared to last year. We expect this impact to reverse somewhat during the last quarter of the year towards an overall guidance of plus SEK1 billion for the full year. The other fixed costs remained in line with last year. FX had a significant negative impact of SEK1.6 billion driven by strengthening of the SEK from last year and especially against the U.S. dollar and Brazilian real. We expect the effect from transaction exposure to be negative at SEK200 million for the full year ‘24. And we don't provide any guidance on the full FX effect on earnings. We delivered a positive cash flow of SEK3.1 billion during the third quarter. While inventory went slightly down, the overall seasonality was normal with a substantial reduction of our payables after the summer period. Return on capital employed improved year-over-year to 38.3% on a rolling 12-month basis. The net financial position remained solid at SEK62.9 billion supported by the positive operating cash flow generation. And then looking into the Truck segment. The decreased FX adjusted net sales for group trucks of 6% were driven by lower volumes and limited price realizations. The lower adjusted operating income and adjusted operating margin were mainly driven by generally lower volumes, R&D, and manufacturing cost impacted by the disturbances we see in North America. Some price realization year-over-year together with decreased freight and raw material cost maintained the overall performance on a good level. The temporary events in North America had a combined effect on the operating margin of approximately 1 percentage point in the third quarter. FX was negative with SEK1.2 billion in the quarter. Looking into construction equipment, FX adjusted net sales decreased by 20% due to the lower volumes and negative brand and market mix. Adjusted operating income decreased by SEK1.1 billion to SEK2.6 billion. The negative mix from higher volumes in China and lower volumes in Europe and North America were partly mitigated by lower material cost, price realizations, and some reduction in R&D expenses. The adjusted operating income margin reached 13.6%, and there was no significant negative impact on earnings from currencies. Looking into the big positive in the quarter, then, buses. FX adjusted net sales increased with 21%, mainly driven by strong price realization, market and product mix, and high volumes. Adjusted operating income increased by almost SEK400 million to SEK731 million, and this is a new record for the business area. The result was supported by high sales and some reduction in material cost, partly offset by higher manufacturing cost. The adjusted operating income margin increased to 11.8%, and that is also representing a record for buses. And currency impact did result negatively by SEK100 million in the quarter. Looking into Penta, driven by lower volumes, FX adjusted net sales decreased 2% to SEK4.7 billion. Adjusted operating income increased to SEK831 million due to price realization and a positive product mix with higher sales and more profitable engines and components. This was slightly offset by the impact of reduced volume and higher R&D expenses. The adjusted operating margin came in at 17.7%, and there was a negative SEK100 million FX impact in the quarter. And then last but not least, looking into financial services. The credit portfolio increased to SEK262 billion with a rolling 12 month return on equity at 13.2%. Portfolio performance continued to be good with customer delinquencies trending at average business cycle levels. In Q3, the adjusted operating income decreased to SEK992 million from SEK1.62 million last year. The solid portfolio performance was offset by higher credit provisions and unfavorable currency movements, which had a negative impact of SEK55 million comparing to Q3 2023. So with that, I'm handing back to Martin to summarize that.
Martin Lundstedt : Thank you, Mats. We'll try to do that rather shortly here. I think most have been said, but if we zoom out a little bit, just take it from a market perspective as you've heard, and the tradition, is that we are, for the first time then, revealing the market forecast for next year. What we can see basically is that we see now a stabilization of the correction in the market. That is also largely following the expectations that we have. In relation to that, and already during the time of the correction, we have been working very actively with our flexibility to find the right type of balance between demand and supply in different regions. I think we are there at large, and the organization, not the least organization -- operational organization has done a good job here. Specifically, if we zoom in then on North America, two events to have in mind temporarily. The max supply issue is addressed. We are working on it. It will gradually improve. That is an art that we know how to manage. Good order books. So we are, of course, very eager to get out of that situation. And secondly, the very positive news about finally, after a long period of investments, that we are now ramping up step by step the Volvo VNL and more to come. So that is about the volume flexibility. But also that we are maneuvering from a position of strength in this cycle. And we see that now also that the different business areas are doing a very good job in the underlying improvement of the business. And in particular, as Mats said also, I'm very happy to see also that the hard work that our colleagues in buses have done is now also step by step paying off, obviously. So interesting quarter, well executed, and looking forward to your questions and happy to respond. Thank you.
A - Johan Bartler: Thank you for that, Martin. So we start with the Q&A and we'll start with Mattias from DB. Mattias?
Mattias Holmberg : Thank you. I'm curious to hear about the North American market environment in particular when it comes to differences between vocational and on-highway segment, and also in relation to the issues you're having with Mack right now. Are you sort of losing market share? Is it a lost business that you're not able to deliver on the current strong market? How do you see that? Thank you.
Martin Lundstedt : Thank you, Mattias. First and foremost, I would like to say that indeed, and we have said that for a while, that there is a difference between the on-road segments and vocational. And vocational is of course a very broad definition of different segments. But if you take these two buckets, I mean, the major correction is in on-road, and that we have seen for a while, and that is also following, so to speak, the normal pattern of other activities in the economy. And that's the reason also why we gradually have adjusted, for example, for Volvo, that is more heavy into that. So the reality is that you can say, for Volvo, we have done the adjustment, but we have kept the resources on previous or, I mean, just to make a simple explanation of that in order also to manage now the introduction of the all-new VNL platform. Vocational is holding up strong, and that is a stronghold, not at least for Mack Trucks. I mean, application excellence in a vast variety of different type of applications. And I should say loyalty is high, because it's a lot about application, special type of applications. Having said that, there is always a limit, so you cannot take this light. And I expressed that in one of the interviews this morning that I feel frustrated. And I feel frustrated because of the fact that our organization is, they are doing a fantastic job here. But of course, because we have a solid and good order book, we have great customers, and we want to deliver as quick as possible. And that's the reason why we took the decision also to take over this operation, so we can control it, inject the resources needed to get the job done here.
Johan Bartler: Thank you, Mattias. We turn into the telephone, and we have Klas Bergelind from Citibank. Please go ahead, Klas.
Klas Bergelind: Thank you, Johan. Hi, Martin, and Mats, Klas from Citi. My first one is on the gross income. Even if I adjust for the supply chain disturbance in currency, it's down my numbers, but pricing in the P&L, you say, is still up a bit. There's, of course, a negative volume effect, but must be a pretty big mix effect as well. Is this more sleep versus retail interaction than the negative mix effect in construction equipment? And what do you see on new order pricing in trucks, Martin, for delivery in the next couple of quarters? Are you seeing incremental pressure or still stable pricing? Thank you.
Martin Lundstedt : Would you like to start?
Mats Backman: Yes, okay, I can start. So when it comes to the -- if you're looking at the kind of the gross margin or the gross income, and we didn't, I mean, when we're talking about the 1% in terms of effect in North America with the disturbances, I mean, that's it on the total operating income level, and we don't split it between gross income and expenses, so to speak. In terms of prices and looking at the kind of price effects, I mean, like I said, I mean, we still have year-over-year carryover effect from last year. That will now decline into the fourth quarter, so the year-over-year effect is almost kind of disappearing. But when it comes to the underlying pricing environment, we're holding on to the prices we have now. And maybe to add, when we're looking at the VNL, I mean, when we're launching a new model, that's an opportunity also for value-based pricing in that respect.
Martin Lundstedt : Absolutely, I mean, and that is, we said this also, a product that is coming with, I mean, game-changing features and productivity for our customers, obviously. But coming back, maybe, Klas, to your point regarding the gross income or the gross margin, I think you should think about it, just to add to what Matt said, that we are flat on gross margin. Of course, we are not disclosing separately exactly how that looks like, but the major part of that for group trucks is, of course, coming on gross income level. But since we have a parallel introduction to what Matt said, that is also further down the PNL, so to speak, normally we are not disclosing a number like this, but we thought it was useful for you to have an idea about the situation since it was a rather particular quarter, basically, with this 1 percentage point for margin on group trucks. But I think taking a step back and seeing that we're holding up with the different mixes that you have always in gross margin, flexibility has been good, both when it comes to the price piece of it, or I mean the discipline of pricing, but also when it comes to the cost flexibility. I think that overall is the message.
Mats Backman: Maybe to add one thing, when it comes to construction equipment, I tested on a great job when it comes to kind of mitigating the volumes as well. I mean, what we need to remember in terms of a mix effect is that in terms of number of units, it's almost 50% SDLG now in that mix then. So a good job from the organization.
Johan Bartler: Thank you. We're turning to Hampus Engellau from Handelsbanken. Hampus, please.
Hampus Engellau : I need a microphone. Thank you very much. Two questions for me. Martin, could you talk about regional difference in Europe? If I look at your volume, you're down 12% in heavy and medium. Some of your competitors are down more than close to 30%. So it will be interesting to see how the mix is in Europe for you guys. Second question, we're starting to pick up some interest on the supply side for hybrids on long haulage trucks as an intermediate way of bridging lower demand on battery electric. Can you talk about your view on hybrids and how we should expect that going forward, especially going into 2025? Thank you.
Martin Lundstedt: Thank you, Hampus. If we start with the mix effect in Europe, you're right, obviously. And I think if you look to central Europe and in particular Germany, it is soft. And I think that is, I mean, given that we have a much more broad spread of our volumes in terms of, I mean, volumes at such an absolute numbers, but also when it comes to the market share, I think that is why we see what we see. What has been important for us is, and we have also a traditionally strong position in East Europe, and we have also been good in executing, so to speak, the balance between order intake delivery and stock levels in Eastern Europe. And I think we are managing that well. If anything, they were earlier into this since they are to a large extent also, if I may say so, the flexible parameter in the European transport system with quite many big fleets operating across Europe that are supporting also the big logistics providers. So in that sense also, I think we are seeing that coming through now step by step here. But I should say that is the main explanation. And then when it comes to hybrids, of course we have good experience of that, not that it's when it comes to buses. For the time being, we don't see that demand coming so strong, so we have very tangible plans. The technology portfolio for us contains, of course, that capability. And if you think about it, both as I said for buses, but also when it comes to fuel cell electric or also battery electric, by the way, I mean the electric powertrain as such will remain in such a situation. And you will talk about what type of extra range extension do you have? Is that the battery? Is that the fuel cell? Is that, in that case, then preferably diesel and, you know, renewables? But again, it is the constitution of a mix of different models that we have.
Johan Bartler: Very good. We turn to the telephone and Goldman Sachs, Daniela Costa, please go ahead, Daniela.
Daniela Costa: Hi, good morning. Thank you. I have some questions about, one question about the U.S. and then one question about Europe, but I'll ask them one at a time. First, in terms of the U.S., just wanted to clarify, you've mentioned there's some EPA pre-buy that you expect next year and then more into ‘26. If you could give us a little bit more color about how you're planning for that, both in terms of what you see on volume and what you're expecting in pricing impact, and also how the dynamic between that and currently elevated inventories in the industry, how do you think that's going to play out?
Martin Lundstedt : Thank you, Daniela. First and foremost, you can say that, as we said, we are guiding them for a slight uptick in the market for next year, 290,000 this year and 300,000 next year. That is primarily driven, as we see it now, by, if I may say so, a backloaded at ‘25, not heavily back-loaded, as you can see, 290 to 300, but still a little bit backloaded. And we see that the bigger fleet snores, but we are anticipating, so to speak, the pre-buy patterns in order to secure their capacity and their ability to plan. So I should say, think about it as a market that will be rather. I think the good news about that is obviously the vocational market. We are well into ‘25 already for vocational and there we have a good view on price execution, et cetera. The other part, to your point, is now for us and for the industry and for the dealers and downstream and used to manage well the on-road segment. So far, so good, I have to say. I think we are, together, we had a dealer gathering a couple of weeks ago in U.S., good discussions regarding that. But you are absolutely right, that is the name of the game now on on-road to manage that balance. And then with the gradual, so to speak, normalization of interest rates, et cetera, that will also come back when it comes to transport activity. We are excited about it because we have a lot in stock for the coming years when it comes to news, not of old trucks, but when it comes to news. So we are super excited about North America. We will have an opportunity to talk more in detail about that at the Capital Markets Day as well.
Daniela Costa: Sorry, if I could quickly follow up on that. When you mentioned on the Volvo, you were lowering production in North America, then you have the new production for the new truck. Net-net in terms of production for next year, do you expect to be up or down in North America?
Martin Lundstedt : I mean, again, Daniela, I think you should think about what we are saying about the total market. During this year, we have, of course, seen a mix shift if I take the two bigger buckets on-road, both long haul and regional haul in relation to the other bucket, vocational. We have seen, of course, a mix change that the vocational has been a bigger proportion. Having said that, the on-road segment is so dominant anyhow, so it's more about now how we manage that moving forward, and we have ambitions. I mean, we have 15 plus percent as we speak now. What we are doing, we are upgrading significantly our platforms, we are upgrading our resilience and production capacity and we are very excited about North America.
Daniela Costa: Got it, thank you. And my final question, just in terms of Europe, with the 2025 regulation coming up next year and then the 2030, you're moving the EVs factory a bit out. How should we think about in terms of like fines and pricing and how you manage the trajectory if the adoption is slower than expected in the industry and that overall?
Martin Lundstedt : Great question, great and big question. ‘25, we feel good about ‘25, both when it comes to our execution on the internal combustion side, we have done significant investment there. So that is supporting our targets for 2025. On top of that, when you look at the volumes that are moved into the market, 70% of those are coming from the Volvo Group. When it comes to battery electric vehicles that of course have a significant impact for us, positive impact for us. I think also you should remember that doing that and being an early mover, of course, is also an investment, but as we said, more than 100 million kilometers for Volvo, more than 50 million kilometers for Renault. We are gaining data and experience that will serve us well here for the regulations, but also for the implementation and the speed of it. 2030, very important to continue to drive that. And not at least when it comes to what we talk about, enabling conditions, obviously, that you have the full infrastructure in place. From an equipment perspective, we feel very confident that we will be there.
Johan Bartler: Thank you for that, Daniela. We move to Erik at SEB.
Erik Golrang: Thank you, Erik at SEB. Two questions, I got to come back to the North America situation and Mack, just to get some sense of how quickly you can get back up to speed there. So is this a gradual recovery up in delivery capacity into next year, or could we see more of an immediate pickup in delivery in the fourth quarter? And then the second question on electrification, you're pushing the battery cell plant in Mariestad sometime out. Are you doing the same thing on R&D projects, or is that a more tricky bucket to adjust in the medium term? Thank you.
Martin Lundstedt : Thank you. Daniel, we start with North America and Mack here. As I said, we have now taken over this operation, and what I feel good about is that now it's in our hands, because this has been a tricky situation for quite some time. I should not say any conflictual situation, but a tricky situation in terms of really getting the arms around it. We did, I think, a good job during the summer, very intensive to really do this. We have taken over this operation now at the end of September, and we expect gradual improvements. And that is only an upside, because we also know how important the volume leverage is in North America, not at least for Mack, with the structure that they have. When will it happen fully to stand here now? I mean, I'm an old operational guy, and I realized that I can say both old and operational standalone, unfortunately, not only old operational connected, but having said that, I'm humble of saying that it can, if all the stars are aligned, go rather quick. But I think also we need to be realistic. The most important is that we have a clear view that we will get the job done, and there I'm 100% confident. And this is super important for Mack, given the fact that we have more customers, we have more volumes out there than we for quite some time now have been able to execute for Mack. That Mack has such a strong position, and is deserving more when it comes to the market presence. When it comes to Mariestad, yes, that is correct. I think we have been smart in building up a supply chain that is both internal and external, sell modules packs, and it has always been part of the plan, of course, that when you have this type of big investments, how do you build it up in steps? So already with the previous time plan, we had, of course, stepwise, but I think we partly differ from others that think that you have to do everything at once. We think that we can actually take it stepwise also when it comes to our internal capabilities. We have done that both when it comes to packs, modules, and now also this. So that was always the plan. On top of that now, it is the exact time-facing, and when we start to see now how things are materializing, we've said, okay, 12, 24 months is wise. R&D activities, obviously, short-term. Now, we are always pruning the R&D portfolio, so that is nothing new. Short-term now, we say, okay, let's continue to move along because we have such a strong track record when it comes to the operational excellence. But having said that, depending on how it will continue to evolve, we have, of course, modularity blocks also in our R&D pipeline, if that is deemed necessary, both from a cycle management, but also from a transformation angle. And I think that is also something that we can also continue to deep-dive during the Capital Markets Day, how we think about that.
Johan Bartler: Thank you for that. Returning to BNP and Miguel Borrega. Please go ahead, Miguel.
Miguel Borrega: Hi, good morning, everyone. Thanks for taking my questions. I'll ask one at a time. So first on orders, can you help us understand the 50% decline in North American orders? Do the Mack cab issues also impact in some way the order intake in the quarter? Because I also see the Volvo brand down 39% in North America. So, what drives the decline in orders during the quarter? And how does that come in the context of the positive outlook for 2025?
Martin Lundstedt : Thank you, Miguel. And thank you for bringing that up, by the way. I think that is a typical question that is always good to clarify, even if we addressed it already in the presentation here. But the thing is that, I think if I remember it right, it was like 43,500 orders on the truck side. And you're absolutely right. I mean where you should zoom in here now and get the balance right is North American order intake. And they are related to the fact that Mack, they are sold out for this year and they are having order coverage well -- and I say well into 2025. I should not say that we see that the issues are affecting that slotting or that the order book and that we will have less quality or that we have lost sales. But of course, it's always urgent to serve our customers well. But the reason for it is that we have done for other regions and for North America quite some time now is when we have a certain coverage, we are not opening the order book. So we have had a very restrictive slotting for Mack. The same actually goes with the changeover now for Volvo that we did not open order slotting for ‘25 until beginning of October. And so I think good and reasonable question here, why it looks like it looks for North America. And there, I think it's those two explanations that you zoom into.
Miguel Borrega: Thank you. And then my second question, if you can help us understand the margin situation, even without the Mack issues in the quarter, the truck margin would have been 12.7. So still quite a sequential decline from Q2. How should we think about Q4? You mentioned that the Mack issues will persist and usually Q4 is weaker than Q3. I know you don't guide, but can you give us some thoughts directionally how the margins will go? Thank you very much.
Mats Backman: Yes, I mean, looking at gross income level then and more from a kind of sequential point of view, then I mean, starting again with the kind of pricing I mean, we see a kind of a flat development when it comes to prices sequentially. And what has been the big thing is really the kind of the carryover the year-over-year effect on price realization. Then I mean, that is getting less than throughout the year. But from a sequential point of view, it's still flat. I mean, you can see the kind of the volume development looking at order of intake and so forth. And so, I mean, we are kind of adjusting for lower volumes as you have seen in the third quarter. We talked about raw material being a positive trend here. And then we have, what I think is also important to talk about is the kind of the mix effects we see. And I mean, if you're looking, taking construction equipment as an example, I mean, we are now running on 50-50 when it comes to SDLG and the Volvo branded products. And then you can look at order intake on that side as well. I mean, that will continue when it comes to the negative mix effect. And then when it comes to the industrial system, and I mean, potential under absorption, I mean, we saw under absorption now in the third quarter in North America driven by the items that we have been talking about that. And that will also continue into the fourth quarter, even though we are talking about the gradual kind of improvement, but that will continue. And then on top of everything, when you are looking sequentially, you have the seasonality as well built into that.
Martin Lundstedt : I think also, I mean -- Thank you, Mats. But I think also, if you think about it, I mean, take, so I have the right for it now, quarter 2, ‘’22, quarter 3, ‘23, quarter 3, ‘24. And of course, I mean, if you take last year, we had a lot of, I mean, you should say, I mean, also tailwinds and good execution. But I think you should also think about how does it look like also when you go back to ‘22. Now we have a significant drop in volumes also, both for the market and for Mack. And still we are reinforcing in that situation while we are at the same time bringing up R&D, et cetera. So I think when you look through the different parts of the P&L, starting with the gross margin levels and then see, okay, and also understand where is the maneuverability? I think still we are on an underlying improvement track that I feel good about for the future.
Johan Bartler: Thank you for that, Miguel. Then we turn to the room here and to EFM.
Unidentified Analyst : Yes, so hi. My question was, will you be able to continue to raise prices and defend margins, even in insecure markets? And if so, in which regions can you do better on the pricing side, considering all segments? Thank you.
Martin Lundstedt : No, I mean, I think already what we have been, I think good development for us is that we have been able to maintain a good price discipline in a deteriorating market or in a correction in the market, both in North America and Europe. The opportunities that we have at hand now, since we are more or less sequentially guiding for flat pricing for the coming quarter here, as Mats said, because, I mean, you don't have the year-over-year effect. I mean, what we can have at hand is, of course, that we have now big introductions gradually coming in North America with a value-based pricing, i.e. great products with great performance. And that should, of course, be acknowledged and rewarded for. What is important for us now is in a more soft market to maintain price discipline. If we can do that, that is, I think, a very, very important step for high quality in this industry at large.
Johan Bartler: Thank you for that. We take one final call from Jefferies and Michael Aspinall. Please go ahead, Michael.
Michael Aspinall: Thank you so much. Good morning, Martin, Mats and Johan. My question's a bit of a follow-up on the North American market. If you think about your North American industry forecast and the level of inventory we have there at the moment, if we take those two together, does that imply that retail sales will be stronger than plus 3% in 2025? Or do you think the industry wants to go into 2026 with some inventory on the books?
Martin Lundstedt : Okay. No, as I said already, Michael, I think, I mean, obviously, this is an on-road game, if I’m a little bit blunt. I mean, how do we manage that now? How does it look like when it comes to activities in the marketplace at the end of day because that is the only thing counting? And what we start to see is that, I mean, pricing for transporters are starting to normalize. It is starting to come back in better shape. We start -- if we look at our own pipeline, both when it comes to new and used, we feel good about the activities that we are doing. We have been reducing output for on-road products, both regional and long haul in order to manage that situation. And again, as we said, I think we are now moving in from a level that is around 285, 290, something to that. And when we are guiding for 300 next year, it's also a little bit with the back-loaded volumes because, to your point, we need to make sure that this balance is in place, but we foresee also with a decreased interest rate, consumption, et cetera, pattern will move up. And also, I mean, uncertainties will be more gone after the election also in November. So that is the best guidance that we can give, but we are well prepared for this situation.
Mats Backman: Yes, I mean, we have the flexibility in the system as well to manage whatever's on the spectrum. So the flexibility is important to remember as well.
Martin Lundstedt : And I have to say, from a philosophical point of view, and also practical point of view, if anything, I feel rather good about that we are where we are in the cycle when we are introducing also the new platform. That should have been a little bit more problematic maybe one year ago, or something like that. The more you train, the more luck you have.
Johan Bartler: Thank you for that, Michael. So thank you for all good questions. All materials is available on our homepage as always. And with that, we thank you and see you next time.